Operator: Hello, and welcome to the Robert Half International First Quarter 2012 Conference Call. Our hosts for today's call are Mr. Max Messmer, Chairman and CEO of Robert Half International; and Mr. Keith Waddell, Vice Chairman, President and Chief Financial Officer. Mr. Messmer, you may begin.
Harold M. Messmer: Thank you, and hello, everyone. Before we begin, we would like to remind you, as usual, that comments made on today's call contain predictions, estimates and other forward-looking statements. These statements represent our current judgment of what the future holds and include words such as forecast, estimate, project, expect, believe, guidance and similar expressions. We believe these remarks to be reasonable but would remind you that they are subject to risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. We've described some of these risks and uncertainties in today's press release and in our SEC filings, including our 10-Ks, 10-Qs and today's 8-K. We assume no obligation to update the statements made on this call. Now let's discuss the first quarter. Global revenues for the first quarter were $1,020,000,000, an increase of 15% from the first quarter of 2011. Income per share was $0.34, up 88% from the $0.18 per share reported in the first quarter of last year. Cash flow from operations during the first quarter was $23 million, capital expenditures were $10 million. We paid our stockholders a cash dividend of $0.15 at a cost of $21 million. We also repurchased 1 million RHI shares for a total of $29 million. There are approximately 5.1 million shares still available under our board approved stock repurchase plan. We were pleased with the financial results for the quarter which were the result of continued strong demand for our specialized staffing and consulting services. This is the seventh straight quarter of the company has reported double-digit year-over-year revenue growth. In each of these quarter’s growth and net income and earnings per share has greatly outpaced revenue growth. Now I'll turn the call over to Keith Waddell for more detailed review of our first quarter financial results.
M. Keith Waddell: Thank you, Max. As you noted, first quarter revenues for the company were $1.02 billion, an increase of 15% year-over-year, and a 4% increase sequentially. We calculated 63.7 billing days in the first quarter compared to 63.1 days in the first quarter of 2011, and compared to 61.0 days in the fourth quarter of 2011. The higher number of billing days had the effect of increasing first quarter 2012 sequential growth rates by 5%, and year-over-year growth rates by 1.1%. The current quarter, has 63.1 billing days. Currency exchange rates reduced first quarter 2012 sequential revenues by $1 million and first quarter year-over-year revenues by $6 million. This had the effect of reducing first quarter 2012 sequential growth rates by 0.1% and year-over-year growth rates by 0.8%. Beginning this quarter, we've added a new supplemental schedule to the investor center of our website at rhi.com. It shows the year-over-year revenue growth rates for each of our staffing lines of business on both a reported basis and also a same-day constant currency basis. It further splits the data between U.S. and non-U.S. operations. This information is presented for each of the quarters, beginning with the first quarter of 2011. We provided this data because we believe it better reflects our actual growth rate and aids in the evaluation of revenue trends over time. This data is considered to be a non-GAAP financial measure. Additional information, including a reconciliation of these growth rates to reported growth rates also is available on our website. On a same-day constant currency basis, global staffing revenues grew 16% year-over-year compared to the first quarter of 2011, with the U.S. growing 20% and international locations growing 9% on this basis. U.S. staffing revenues were $652 million in the first quarter of this year, while international staffing revenues for the quarter were $260 million. We have 353 staffing locations worldwide, including 104 locations in 19 countries outside the U.S. First quarter global revenues for Protiviti were at $103 million, including $78 million in United States and $25 million outside the U.S. Year-over-year growth rates were 4% globally, with U.S. revenue up 9% and non-U.S. revenue down 7%. Protiviti and its independently-owned member firms serve clients through a network of 71 locations in 22 countries. Now, let's look at gross margin. First quarter gross margin in our temporary and consulting staffing operations was 35.6% of applicable revenues. This was 125 basis point increase over the first quarter of last year, and only a 16 basis point decline from the fourth quarter of 2011. We were very pleased with our ability during the quarter to adjust our pay bill spreads to absorb the anticipated state unemployment tax increases, and also the absence of prior quarter workers' compensation credits. Temp-to-hire conversions also rose modestly during the quarter. Our mix of permanent placement revenues increased to 9.1% of staffing revenues for the quarter versus 8.6% a year ago. Together with the higher temporary and consulting gross margins previously discussed, this resulted in a 150 basis point increase in overall staffing gross margins compared to the first quarter of 2011. Protiviti's gross margin was $24 million or 23% of Protiviti were revenues, compared to 25% of revenues a year ago. Turning to selling, general and administrative expenses cost. In the first quarter, our staffing SG&A cost were 32.4% of staffing revenues. This was an improvement of 180 basis points from the prior year. First quarter SG&A costs for Protiviti were 25.4% of revenues. This was a 130 basis point improvement from the prior year. First quarter operating income from our Staffing divisions was $82 million or 9% of staffing revenues. The Temporary and Consulting divisions contributed $69 million of this amount or 8.3% of applicable revenues. First quarter operating income for our Permanent Placement division was $13 million or 16% of applicable revenues. Protiviti's operating loss was $2 million in the first quarter. This was anticipated as the first quarter is typically Protiviti's seasonally weakest quarter. Accounts receivable were $523 million at the end of the first quarter, was implied days outstanding, or DSO, of 46.9 days compared to 48.2 days at the end of the first quarter of 2011. Now let's turn to second quarter guidance. We saw the following trends in the first quarter and the first few weeks of April. On a same-day constant currency basis, year-over-year temporary and consulting growth rates were up in January and down in February and March. On a same-day constant currency basis, year-over-year permanent placement growth rates were down in January, February and March. During the first 2 weeks of April, revenues for our Temporary and Consulting businesses were up 15% on a same-day constant currency basis compared to the same period last year. For the first 3 weeks of April, revenues for our Permanent Placement division were up 35% on a same-day constant currency basis compared to the same period last year. We would caution however, that it's difficult to evaluate these trends over such short time periods. Taking this information into account, we offer the following second quarter guidance: revenues, $1.01 billion to $1.06 billion; income per share, $0.32 to $0.37. It's our policy to limit guidance to one quarter. All estimates we provide on this call are subject to the risks mentioned in today's press release. Consistent with past quarters, our guidance does not include any amounts for the possible settlement of outstanding legal claims. Now I'll turn it over back to Max.
Harold M. Messmer: Thank you, Keith. We had another strong quarter with continued growth across our lines of business. Year-over-year growth rates in our domestic operations accelerated during the first quarter. Economic signals were more mixed outside the United States, particularly in Europe, which affected the revenues of our non-U.S. operations; however, we were quite pleased with our ability to control costs outside United States. We have said before, on this call and repeat now, that we believe a supply and demand imbalance is emerging in United States within many professional occupations. Unemployment rates for a number of positions in accounting and information technology, for example, are less than half the overall U.S rate. In many instances, we have benefited from a better pricing environment as a result of the tighter labor market for specialized plantilla [ph]. We also have witnessed the return to hiring by small and midsized businesses in many of our markets. Although we serve companies of all sizes, the core of our client base is made up of small and midsized firms which often are less price sensitive and tend to place a higher premium on service quality. Protiviti will mark its 10th anniversary next month and it continues to diversify its business solutions. In addition to its foundation practice and internal audit and internal controls-related services, Protiviti offers consulting services in areas such as finance, technology, compliance, operations, litigation and restructuring. Protiviti's most significant growth areas recently have been in IT-related consulting as well as services geared toward the financial services industry. Another reason we are optimistic about the growth prospects for Robert Half is the change we believe is taking place in the way companies staff their operations. We are seeing wider adoption of flexible staffing models by businesses, including the use of temporary and project professionals. Flexibility of variable cost labor can give companies greater control over their human resources budgets and provide access to skilled talent when, and for as long as, they need that talent. At this time, Keith and I will be happy to respond your questions. Please limit yourself to one question and a single follow-up, as needed. If time permits, we will try to return to you later in the call if you have additional questions. Thank you.
Operator: [Operator Instructions] Your first question comes from the line of Mark Marcon from Robert W. Baird.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: Just wondering if you could talk a little bit about your perspective on investing behind perm at this point, and how we should think about the potential margins in the perm business over the balance of the year? Recognize it's going to be different in terms of international versus U.S., but if you can give some color there, I'd appreciate it.
M. Keith Waddell: Sure. So we were pleased with our perm quarter and particularly the profitability of our perm quarter, during the first quarter. We will continue to invest in perm principally in the United States, principally in the technology sector. And outside of the U.S., we reduced our headcount during the quarter as we had said we would on the prior call. For the second quarter, we'll probably hold that headcount constant, it might drift down a little bit. But most of the investing in perm, U.S. technology. As to margins, the margins did increase nicely during the quarter. The cost control outside the U.S. had a meaningful impact, that was the headcount reduction we had talked about. Our hope is that we can maintain those margins as we go into the second quarter in perm.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: Great. Just a follow-up, can you talk a little bit about how much of your perm business is now technology-related? And what the future prospects are on that?
M. Keith Waddell: The perm tech, I think, is around 18% of total perm. And Mark, that compares to tech, temporary and consulting, which I think is 14% to 15% of total temporary and consulting. So that's a little larger percentage in perm, but it's not hugely larger. But we're quite optimistic about it. And clearly, tech perm was one of the strongest parts of the first quarter.
Operator: Your next question comes from the line of Andrew Steinerman from JPMorgan.
Andrew C. Steinerman - JP Morgan Chase & Co, Research Division: Keith, you're going to think I'm a total geek, but I think you might have confused me a little bit. When you gave your trends for January, February and March, did you switch to using year-over-year trends? Historically, you used sequential trends, I believe. I think you switched to year-over-year. My first question is why? And then, could you give me some interpretation because it sounded like up to, this is for temp, up January, down Feb, down March. I assume, does that mean deceleration? And then, all of a sudden, when I look at April, we're still at a very solid 15%. So is my context correct? And could you give us some color?
M. Keith Waddell: Okay. So it is correct that we switched to year-over-year, and it is correct that the rates of growth decelerated during the course of the quarter, and it is correct that in first part of April, we reaccelerated in perm and temp stayed about the same. We went to year-over-year so that everything is consistently year-over-year. Traditionally, when we talked about the progress during a quarter, we talked sequentially, and then we converted to year-over-year for the post-quarter start. That actually created quite a few calls and confused some people. So in combination with this new schedule, that I would encourage everybody to go look at on our website, it's year-over-year, constant currency, constant billing days, so that, that schedule reports on that basis. What we report during the course of the quarter just ended is on that basis. And what we report on our start, post-quarter, is on that basis. So everything is same-day, constant currency, year-over-year.
Operator: Your next question comes from the line of Thomas Allen from Morgan Stanley.
Thomas Allen - Morgan Stanley, Research Division: Can you just give us some color on how your major international segments did by country?
M. Keith Waddell: Sure. I guess, clearly, the strongest is in Germany, where we had very strong year-over-year growth. We've accounted in the following order, we also continued to have positive year-over-year growth: Belgium, France, Australia, Canada. The major country where we had negative year-over-year growth was the U.K.
Thomas Allen - Morgan Stanley, Research Division: Great. Thanks. And then you also got a great SG&A leverage in your temporary business, was that just higher revenue with kind of a flattish employee base? Or are you seeing greater productivity gains or can you give some color there?
M. Keith Waddell: Well, clearly, the higher revenues, when we were particularly attentive to our cost, especially outside the U.S., where we held the -- even the temp headcount in check, resulted in an operating leverage in both temp and perm and expanded margins. But there's no -- there's nothing sexy there. That's blocking and tackling. It's more revenue from essentially same workforce.
Operator: Your next question comes from the line of Paul Condra from BMO Capital Markets.
Paul Condra: It looked like last quarter, you give us a little more detail about gross margin and SG&A expectations for the following quarter. I'm wondering if you could do that this time with regard to the second quarter.
M. Keith Waddell: Sure. So if you look at our guidance, at the high-end of our guidance, first of all, at the revenue level, it essentially says, on the temp side, the year-over-year growth rates remain intact. On the perm side, the growth rates slow in part because of the monster quarter we had a year ago, where we were up 44% and in part because we still have this environment where clients and candidates are simultaneously more selective, which slows down the placement cycle. So we're -- our forecast even at the high end does project deceleration for perm. Protiviti, seasonally, Q1 is soft, Q2 generally gets better. We're projecting mid-single-digit and low-to-mid single-digit year-over-year growth for Protiviti at the high end. On the gross margins, we were particularly pleased during the quarter, that we absorbed the unemployment increase, the lack of workers' comp credits. We would expect to make a little more progress in the high end of our guidance for Q2. Turning to SG&A, we got a lot of leverage as a couple of you have observed here. We expect less leverage in the second quarter than we had in the first. By holding the international headcount around the same, that means the U.S. headcount increases, which would be single, single digit would come through overall, and result in not seeing as much operating leverage in the second quarter as the first, although we might still see a little bit. That would mean at the operating margin line, again at the high end of our guidance, the margins would be same to a little bit expanded. Across the board, Protiviti would clearly go from negative to positive. So frankly, pretty straightforward. You take current quarter margins, apply to same kind of growth rates into Q2 and you've got your high end. There's nothing particularly complicated about it.
Paul Condra: That's great. I don't know if I could squeeze in one follow-up, but just -- did you pass through all of the SUTA increases or are you still making ground there?
M. Keith Waddell: We didn't quite get all of it. The SUTA increases were about 30 basis points relative to all of 2011. We didn't get all of it. We hope to get some more of it. And particularly in the quarter we're in, we dialed a little bit of that in to the high-end forecast, but not a lot.
Operator: Your next question comes from the line of Tim McHugh from William Blair.
Timothy McHugh - William Blair & Company L.L.C., Research Division: I just want to first ask about the management resources segment, which seemed pick up a little bit there. Is there any additional color on what you're seeing out of that practice?
M. Keith Waddell: Well, Tim, I'd say the first quarter management resources, probably more than any other division, participates more fully in year-end close, year-end regulatory filings. It's right in the sweet spot of that activity. So if you look back to first quarter is particularly good for management resources. It was again this quarter. At least sequentially, the second quarter, the quarter we're now in is not as good for management resources because you're following those kind of trends. But they participated nicely, as they often have in the past, in the ongoing and recurring accounting activities that take place in the first quarter.
Timothy McHugh - William Blair & Company L.L.C., Research Division: Okay, great. And my one follow-up would be if you can update us, I apologize if I missed this, but the pricing and bill rate trend and maybe, are there differences kind of by the segment or practice area?
M. Keith Waddell: Okay, so for bill rate increases, so the global increases year-over-year were 3.4% for the year, for the quarter versus the prior year, and sequentially they're up 2.1%. I would hasten to add those are global numbers. The U.S. numbers are a fair amount larger than that, offset by some year-over-year declines outside the U.S. As to differences by segment, there aren't huge stories there. To some extent, office teams have risen because we've become more selective in the type of business that we're writing in OfficeTeam. But generally for the most part, because everybody has middle-market client base, for the most part, the bill rate pay rate trends are the same and they're quite good.
Operator: Your next question comes from the line of Sara Gubins from Bank of America.
Sara Gubins - BofA Merrill Lynch, Research Division: Just a follow-up on that last question. Could you talk about pricing trends for Protiviti?
M. Keith Waddell: Pricing trends for Protiviti are also good. The Protiviti does their annual promotion cycle, annual compensation evaluation cycle effective January 1. So they anticipate that, as they renew their contract, and the environment, generally, has been favorable with respect to what they've been able to bill, inclusive of considering the impact of promotions to their leverage model.
Sara Gubins - BofA Merrill Lynch, Research Division: Okay, great. And separately, the NFIB hiring plans index and the bailiff [ph] temp payroll data, both took something of a step back in March. Based on your commentary about what you saw in March and April, it doesn't really sound like you've seen any of this. But I'm just wondering if the feedback from your branch managers has changed at all in the last 6 weeks or so?
M. Keith Waddell: And we met with all our key geography and line of business heads last week. And virtually to a person, they were more favorable than they were 90 days ago. So as we said in our trends, our growth did decelerate a bit in March, temp and perm, but that's either flattened back out, in the case of temp, or reaccelerated, in the case of perm, first part of April. Having said that, I think we all understand that perm's more volatile and that early start is less predictive of the quarter.
Operator: Your next question comes from the line of Ato Garrett from Deutsche Bank.
Ato Garrett - Deutsche Bank AG, Research Division: I was wondering if you could talk a little bit about the growth rates between the U.S. perm and European perm operations. Does it seem there's any significant differences to there?
M. Keith Waddell: So that's a nice straight man question for -- if you look at this new schedule we posted on our website, we actually show you the difference in those rates. And for example, for U.S. perm, it grew 28% year-over-year for the quarter, and non-U.S. perm grew 16.5% year-over-year in the quarter. So clearly, U.S. outgrow -- outgrew it but relative to expectation, the 16.5% growth outside the U.S. was better than we had expected.
Operator: Your next question comes from the line of Giri Krishnan from Credit Suisse.
Giridhar Krishnan - Crédit Suisse AG, Research Division: I guess, Keith, as you look towards the rest of the year, what are some areas other than maybe tech, which you mentioned in the past, and perm, which I think you alluded to earlier, where you plan to concentrate or invest in given the potential opportunity ahead?
M. Keith Waddell: Well, we're still bullish on tech. And tech perm has been particularly solid lately, which we'll continue to invest in. But as we've talked before, to some extent, we underinvested in our other lines of business last year, and this year, we're certainly going to invest commensurate with their growth rates. So the quarter we're in, we are going to add heads pretty much across all lines of business, particularly in the U.S., in part because we underinvested a bit during '11 while we overinvested in tech. There's a little bit of catching up that's going to happen in 2012. But not disproportionate to their 2012 growth. It's just going to be more broad based.
Operator: You're next question comes from the line of Tobey Sommer from SunTrust.
Tobey Sommer - SunTrust Robinson Humphrey, Inc., Research Division: I was wondering if you could comment on the rate of change of bill rates in maybe -- specifically contrast IT with the F&A pieces of your business.
M. Keith Waddell: Right. So the bill rates were up 3.4% year-over-year, and there isn't that much difference between IT and non-IT. Clearly, there is a candidate supply challenge, more so on the IT side than on the accounting side. But as we said in the prepared remarks, the unemployment rate for IT and accounting professionals is half of the overall unemployment rate. And with that backdrop, we're having to pay more, clients understand that, and we're able to bill more as well.
Tobey Sommer - SunTrust Robinson Humphrey, Inc., Research Division: And then in Europe, the move to separate accounting and auditing, I was wondering if you could describe how you might see that unfolding and how you could take advantage of the opportunity?
M. Keith Waddell: Well, to some extent, it mirrors what happened here 10 years ago, where you couldn't do external outside auditing and internal auditing. So there's no question that, that would be a plus. I think there's a lot of question of whether that will actually get enacted, as proposed. But clearly independence between external audit and internal audit has always been a core-value proposition that Protiviti's sowed its independence, its objectivity. And to the extent that's even more acknowledged outside the U.S., that's a good thing.
Operator: Your next question comes from the line of Jim Janesky from Avondale Partners.
James J. Janesky - Avondale Partners, LLC, Research Division: First question is, we, like you, have heard that small to midsize businesses are starting to rehire again. And do you think that's because -- our thoughts were that small to midsize businesses are probably the most affected by talk of a double-dip recession in, at least in the United States, that have kind of gone away. Is that what you're hearing? Are they more comfortable with the growth rate or are they just starting to invest again?
M. Keith Waddell: I think, clearly, the numbers show, they're starting to invest again. I think, if you look at ADP, 89% of the jobs added last month, we're in the small-to middle-size category so the job's growth engine is disproportionately in our sweet spot. There -- over the course of the years, they've been more "show me" than other categories, and I think with the recovery, as long as it's occurred notwithstanding the European uncertainties, I think they're beginning to be more believers and our growth rates show that.
James J. Janesky - Avondale Partners, LLC, Research Division: Okay. And then switching to Protiviti. Do you have the constant currency same-day rates for both U.S. and international for those -- for that segment? For the quarter?
M. Keith Waddell: So Jim, the reason we didn't do is because the number of days is much more an art form for Protiviti because it gets into the holiday and time-off patterns of your internal staff. And whereas, we have decades of data on the staffing side that says for a given holiday, it's effectively x percent of a full day. The data at Protiviti is not as consistent, and we don't have decades of data. And given its relative size, relative to staffing overall, we didn't go there. It's more volatile, it's more art than science. And again, as I said, given its relative size, we didn't go there.
James J. Janesky - Avondale Partners, LLC, Research Division: Okay, fair enough. But with respect to Protiviti, could you just talk a little bit about your longer-term plans there. And you did reduce headcount, you said you're going to keep that steady in the...
M. Keith Waddell: Long term Protiviti, in its own right, has a very solid internal audit practice. The U.S. has been quite good. I believe the U.S. alone has been profitable for each of the last 7 quarters. Our challenges have been more outside the U.S. which we've talked about many times on this call. So it's got a very solid internal audit practice. What's come on in a big way are IT consulting and financial services, particularly, risk and compliance as it relates to financial services. We're very pleased with how they've progressed. In addition, there is a very real go-to-market opportunity, which we increasingly are more successful with, where staffing and Protiviti go-to-market together. Typically, it's where Protiviti provides supervision, there's consulting, there's deliverables and, many times, from our staffing organization, you get the arms and the legs of the staff on the engagement. So we're bullish on Protiviti, in its own right, in the consulting space, particularly in IT and FSI. And as I said, we're increasingly more successful going to market, Protiviti together with staffing, we had nice winds this quarter. It's definitely gotten traction in the last 12 months, and we're very excited that Protiviti fits very naturally with staffing. At the end of the day, clients like choices. Clients like choices between: do I, client, want to manage a project? Do I, client, want you, the consulting firm, to manage the project? Or is there some blend of, I manage part of it, you manage part of it? You provide the arms and legs in part of it, you provide the consulting for part of it? Clients like choices. We see that within staffing, we see that within Protiviti, we see that combined between staffing and Protiviti. Protiviti gives us more choices.
Harold M. Messmer: It gives us more choices, Jim. And it also enables us to be very cost competitive.
Operator: Your next question comes from the line of Gary Bisbee from Barclays Capital.
Gary E. Bisbee - Barclays Capital, Research Division: The first question, I guess, looking at the Technology business, it did decelerate a bit more than some of the other segments, and I realize it's been growing incredibly fast. Maybe it's just tough for comps, but anything else you'd point out there?
M. Keith Waddell: That's true. It did decelerate more than the others. And more than half of that deceleration, happened outside the U.S. and specifically in the U.K., where not only does it have the economic -- macroeconomic headwinds, but we also selectively exited some low-margin tech business that as that market's gotten more competitive, we just weren't willing to stay at the kind of margin structure that some of our competitors were willing to stay at. So disproportionately, non-U.S. And I think if you look this the schedule, you'll see that the temp and consulting staffing overall decelerated non-U.S., but in the U.S., temp and consulting actually accelerated.
Gary E. Bisbee - Barclays Capital, Research Division: Okay, thanks. And then just a follow-up to that, maybe I'm digging too much in the disclosure, but it looks like there's been quite a bit less of the currency impact on the Technology business. And I assume that, that's just that you haven't built it out overseas as much. But what -- if that's right, do you see the demand potential over time as broadly similar to what you've seen for technology in the U.S.? And what are sort of the factor -- the gating factors to that growth, is it really just your investment?
M. Keith Waddell: Okay, so first of all, the currency differences by line of business get more to geographic distribution. So tech is stronger, or is more prevalent in some countries than others, relative to the rest of our business. So the currency changes, so let's take Germany as an example, so to the extent we're stronger in tech in Germany, it's going to be more impacted by euro exchange rates than sterling exchange rates, as an example. As far as demand drivers, outside the U.S. versus inside the U.S., the example I chose was Germany, because Germany we're bullish on tech where the drivers seem to be very similar to what they are in the U.S. So we do expect to make outsized tech investments in Germany, outside the U.S., for the same reasons we've made outsized tech investments in the U.S.
Gary E. Bisbee - Barclays Capital, Research Division: Okay. And then just one last one on Protiviti. It certainly sounds like your commentary there has been getting more positive over the last year, so how do we think about the long-term profitability of the business? A few years ago, you thought that there was no reason it shouldn't be able to get the temp staffing profitability or I think you've even said low teens. Is this still a long time off or if we see sort of moderate to solid revenue growth, can we start moving there in the next couple of years?
M. Keith Waddell: We certainly think we can start moving there in the next couple of years. The challenge we've had is outside the U.S. Again, we've talked about that. We've made some progress. Japan has been particularly hard hit in the last 12 months. It anniversaries, the earthquake, tsunami in the second quarter, so the comparisons will get easier from that standpoint. But Protiviti U.S. has been nicely profitable for 7 straight quarters. That's been masked in some of those quarters by losses outside the U.S. We believe those losses will moderate, hopefully, more than even modestly over the course of what's left of 2012, which will drive overall Protiviti profitability. But short answer to your question, we still believe we can get consolidated global double-digit operating margins from Protiviti.
Operator: Your next question comes from the line of Jennifer Huang from UBS.
Jennifer Huang - UBS Investment Bank, Research Division: Just a question on your temp-to-perm conversion. I know you mentioned that it was up this quarter, maybe if you can just provide a little bit more color on where it is now, and where do you think -- whether or not do you that can continue to increase over the course of the year?
Harold M. Messmer: So temp-to-perm conversions, while they were up modestly, which means just a few basis points, are still at the low end of the traditional range. And we still think have a lot of upside. The traditional range is 3% to 5%. We're still hovering at the low end of that range. We're just a little better in the first quarter than we were on the prior fourth quarter. And the trend line is good. It's a derivative of perm placement. There's full-time job demand, often behind temp-to-hire conversions just like there is perm, and we're bullish on conversions.
Jennifer Huang - UBS Investment Bank, Research Division: Okay, thank you. And then just a follow-up on -- maybe just a little bit of nitpicking on the CapEx. It was a little bit lower this quarter, and I think you have mentioned $60 million to $70 million for the full year. Is that still your expectation? Maybe some reasons why it's been slightly lower.
M. Keith Waddell: So our expectations still is in the $60 million, $70 million range. CapEx is a little bit based on the timing of when expenditures get made, purchases get made. So I won't over read that it seems a little light. My guess is you'll see us catching up the balance of the year.
Operator: Your final question comes from the line of John Healy from Northcoast Research.
John M. Healy - Northcoast Research: I was hoping you guys can give a little bit of color on the Protiviti business. I appreciate all the disclosures this quarter. But when I think about the business, the audit side of it, the technology side, and then the compliant side, can you provide some color on maybe how the business kind of breaks out today in those 3 buckets and maybe how that compares to maybe a few years ago?
M. Keith Waddell: Well, in a very broad sense, 7 or 8 years ago, almost 70% of Protiviti revenues were Sarbanes-Oxley related. And today, that's less than 20%. So they've effectively had to replace half of their revenue base in that time period. That gap has principally been filled with consulting services, which are now over half of Protiviti's revenues. And the 2 hottest areas of those consulting services are: IT consulting, be it security, be it IT-asset management; and FSI, risk and compliance. In the regulatory area, in the model-validation area, clearly with financial services firms, that otherwise have their issues, there's clearly remains a lot of demand and we think will continue to have a lot of demand in the compliance area.
Harold M. Messmer: That's all we have time for today. We appreciate your interest. Thank you.
Operator: This concludes today's teleconference. If you missed any part of the call, it will be archived in audio format in the Investors' Center of Robert Half International's website at www.rhi.com. You can also dial the conference call replay. Dial-in details and the conference ID are contained in the company's press release issued earlier today. This concludes today's conference call. You may now disconnect.